Operator: Good morning. I will be your conference facilitator today. Welcome to the UnitedHealth Group Fourth Quarter and Full Year 2014 Earnings Conference Call. A question-and-answer session will follow UnitedHealth Group's prepared remarks. As a reminder, this call is being recorded. Here is some important introductory information. This call contains forward-looking statements under the U.S. federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. A description of some of the risks and uncertainties can be found in the reports that we file with the Securities and Exchange Commission, including the cautionary statements included in our current and periodic filings. Information presented on this call is contained in the earnings release we issued this morning and in our Form 8-K dated January 21, 2015, which may be accessed from the Investors page of the Company's Web site. I would now like to turn the conference over to the Chief Executive Officer of UnitedHealth Group, Stephen Hemsley.
Stephen Hemsley: Good morning and thank you for joining us today. We entered 2015 with momentum from a strong 2014 finish and with more growth opportunity and fewer impediments than we've encountered over the last few years. We expect the strength of our performance capacities to become more visible in 2015 and even more so in 2016 and beyond, as we begin to perform more consistently to the full potential of this enterprise. In 2014 both top and bottom-line results exceeded the upper range of our original forecasts for the year. 2014 revenues grew 6.5% to exceed $130 billion and earnings grew to $5.70 per share despite material and well documented burdens from the ACA. UnitedHealth Group's performance in 2014 was highlighted by diversified growth, strong operating and medical cost management and continuing advances in service, innovation and enabling technology, positioning UnitedHealth Group to better serve more people and better respond to the demands of our evolving healthcare system in the coming years. Cash flow from operations in 2014 exceeded $8 billion or 1.4 times net earnings, with fourth quarter cash flows more than $2.4 billion a strong 1.6 times net earnings reflecting the core strength and quality of our business and earnings. In 2014 we raised our dividend by 34% to an annual rate of $1.50 per share. We repurchased $4 billion in UnitedHealth Group shares and return on equity once again exceeded 17%. As we take a more detailed look at 2014 results, UnitedHealthcare's revenues grew 5.3% to $120 billion. This past year, we experienced outstanding growth in Medicaid and better than expected performance across our Medicare portfolio, balanced off by challenges in the commercial and international markets as we entered the year. Beginning with Medicaid, organic growth of more than 2 million people over the last five years, including an exceptional 1 million new members in 2014, reflects a decade of strategic and operational decisions that have prepared us well to serve this ever expanding population in the states that entrust us to administer these programs. The Medicaid market was the first created by and aligned for society's desire to expand care for the uninsured. We have tuned our medical management and consumer engagement techniques to address the needs and experiences of these consumers. Leveraging the in-market personal care approach we use today with dedicated on-the-ground resources embedded within the communities we serve. Our footprint in the Medicaid market continues to grow. Now reaching states where nearly 60% of the Medicaid community resides. We combine a strong benefit value with deep trusting relationships serving the states and the people who rely on these programs and benefits. Today our community and state business is well balanced, serving people in more than 100 separate state programs, from children with young families, to duly eligible citizens with the most complex medical conditions. We continue to steadily grow serving Medicaid with about 60% of our 2014 growth from market expansion and approximately 40% from traditional sources. With year-over-year market share gains in existing programs and participation in new program launches. We expect to continue this pattern of broad-based growth in 2015 with revenues expected to grow 15% to 17% this year. In the senior and retiree market, strong execution drove meaningful growth for UnitedHealthcare Medicare & Retirement, which added 295,000 seniors in Medicare supplement products and 215,000 people in standalone Part D. In Medicare Advantage, seniors continued to value and choose the modern benefits and support services they receive from managed care. And as you know, sustained government funding shortfalls for Medicare Advantage have hurt seniors, cutting back their benefits and causing disruptions, as products and markets were withdrawn across the industry in 2014, including more than 150,000 seniors impacted by our 2014 market and product exits. Despite this pressure, we grew to serve a net 15,000 more seniors in 2014, a small but hard won achievement. We’ll be back to much stronger growth in 2015 as Medicare Advantage is expected to grow by 200,000 to 300,000 individuals. With Medicare Supplement continuing its long standing growth pattern adding another 250,000 to 300,000 people. As we will continue to serve seniors with our leading market position in Part D, we see an overall Medicare revenue growth rate of 6% to 8% in 2015. As expected, commercial and international markets were more challenging for us over the past year, but we believe this is beginning to turn as well. In Brazil, we grew revenues by just under 9% in 2014, with revenue lift provided by pricing changes and efforts to expand our geographic presence. Price increases clearly pressured membership levels, but are consistent with realigning our products for a sustainable marketplace going forward and we expect stronger market conditions in 2015. At the same time, Amil care delivery system of more than 30 strategically positioned acute care hospital facilities and over 50 clinical practices continues to grow and perform strongly. We are advancing more modern analytics, services and technologies across Amil’s unique integrated benefits in care delivery platform to better analyze and manage costs, strengthen fundamental pricing and improve operational cost structures. Amil has exceptional brand equity. People recognize the quality of Amil’s hospitals and care facilities and consistent value its medical and general benefits offer. Overall we expect revenues at UnitedHealthcare’s global businesses to grow 5% to 8% in 2015. UnitedHealthcare commercial revenues retreated 4% in 2014. In 2015, they will increase and the year is off to a strong start. Consistent with the strategy, we shared with you over a year ago we participated modestly in the individual exchange market in 2014 with the expectation of more significant participation as the market matured. This year we are offering products in 23 state exchanges that are home to 54% of the U.S. exchange market population. This includes eight of the 10 largest exchange market states and 15 states, where we also offer complementary Medicaid plans. We’ve enrolled more than 400,000 individuals through individual public exchanges, with four weeks of marketing still to go. We are ahead of schedule reflecting the brand value and trust in the UnitedHealthcare name. Growth in UnitedHealthcare’s small group and middle market group health business, benefit businesses is also better than we had anticipated in a competitive but generally rational market landscape. The self-funded Employer business is positioned for stronger growth and sales performance in 2015 as well, as we continue to consistently deliver the combination of excellent service and innovation, low medical cost trends and flexible customized approaches, valued by the sophisticated large multi-market customer. Looking at the broader picture, UnitedHealthcare has consistently grown by offering differentiated value, service and execution to its markets. We’ve grown organically by more than 8 million people in the past five years. We should grow to serve over a million more people in 2015, continuing UnitedHealthcare’s track-record as the fastest growing health benefit company in the nation. We are confident UnitedHealthcare is positioned for continued growth including revenue growth of 6% to 7% in 2015. UnitedHealthcare delivered strong operating and medical cost performance during the last year. UnitedHealth Group’s consolidated medical care ratio continues to be the best overall metric describing medical cost performance across UnitedHealthcare’s diverse benefits businesses. That consolidated care ratio of 80.9% improved 60 basis points in 2014, and we expect it to remain stable in a range of 80.8% plus or minus 50 basis points in 2015. Medical cost trends in the commercial business were in the 5.5% zone for the year, with great consistency and execution on medical cost performance across the UnitedHealthcare businesses. Hospital usage per capita was lower overall again in 2014 and was lower across each of the UnitedHealthcare benefit businesses. Moving to Healthcare Services, Optum had a remarkable year in 2014 and is positioned to continue to perform strongly in 2015. Revenues grew by 25%, operating margins expanded to 6.9% and earnings grew by 32%, once again above the upper-end of our expectations for the year. Optum surpassed all of its initial 15-by-15 target, return on invested capital, margins and earnings all well ahead of schedule. In 2015, earnings are on pace to triple, since we embarked on the one Optum growth initiative a few short years ago. The fourth quarter was exceptionally strong with earnings growth of 53%. It was also something of a milestone surpassing $1 billion in operating earnings in a single quarter for the first time. Throughout 2014, Optum increased the quality and depth of its strategic relationships in collaboration with clients and partners. It combined good solutions with good execution for the complex problems faced by large sophisticated customers. This included Optum’s assistance for the continued advancement at healthcare.gov and several state exchanges during the year. The one Optum commitments to greater alignment, consistent performance and cross-business simplification continued to develop well and resonated with people and customers Optum serves. A quick profile that each of Optum business looks like this. OptumHealth businesses are gaining momentum in the wake of investments made over the last several years. We expect strong growth in earnings performance in the year ahead. OptumHealth revenues increased by 11.9% and operating earnings grew by 15% in 2014, all while growing the numbers our practices operated and patients and payors served in the care delivery business. Today Optum servers over 2 million consumers through owned and affiliated physician practices. On the consumer side, Optum is aggressively deploying better approaches and new technologies for consumer engagement, health enrollment and personalized consumer service and support. At OptumInsight, 2014 revenues grew 10.9%. Operating earnings grew by 21%. And the external contract backlog rose nearly 20%. OptumInsight’s $8.6 billion backlog provides a clear indication of the future revenue performance and services. A prime example here is the unique Optum One analytics platform, which brings together a clinical, plain demographic and care management data to provide both backward and forward looking views of patient populations, which are ripped with a rich and distinctive clinical encountered data set of over 55 million lives and expanding rapidly. We expect to increasingly drive positive impact for care providers and the consumers they serve. OptumRx grew revenues by nearly $8 billion or 33.2% and operating earnings grew by 67% in 2014 as benefits were realized from the transition of the UnitedHealthcare commercial pharmacy business. OptumRx won external business awards to serve well more than 1 million people in 2014 and is tracking to a similar level of growth in 2015. The secular trends toward more complex and expensive specialty medications play directly to Optum’s strength in synchronizing and integrating medical and pharmacy benefits, providing uniquely personalized service. Optum is advancing this approach with UnitedHealthcare commercial customers in 2015 and expects to see further market interest in its capabilities in 2016. Looking forward to 2015, our expectations remain consistent with those we shared with you at our investor conference in early December. We are off to a strong start with Optum pursuing large strategic relationships and the UnitedHealthcare’s domestic medical membership, some 250,000 people ahead of our Investor Conference outlook as we close 2014 and with continued strength into early 2015 as we discussed earlier in our remarks. For UnitedHealth Group, we are projecting high single-digit percentage revenue growth in 2015, with earnings growth potentially reaching the double-digits at the upper-end of our earnings range. Following established patterns, we expect first quarter earnings to decrease sequentially from this quarter but perhaps not to the levels reflected in current analyst estimates. From there we expect the second quarter to rise sequentially and quarters three and four to have smoother progression than in 2014. We expect performance to further improve in 2015 in a number of key areas. And let’s spend a minute on those areas of focus. We expect to grow at a very solid pace, capitalizing on market opportunities and commercial benefits, Medicare and Medicaid, as well as the continuing momentum of Optum. Amil’s performance will strengthen in 2015, led by balanced pricing to address medical cost trends and the use of new approaches, analytics and technologies to improve the total performance of both benefits in the care delivery businesses. We are committed in 2015 to growing, strengthening and deepening customer and consumer relationships at the enterprise-level across the UnitedHealthcare and Optum. In this way, the breadth of services and capabilities can be dedicated to meet the needs of the largest and most sophisticated customers of healthcare from the federal government, to the U.S. military, to individual states, national employers, leading hospital systems, life science companies and to increase our focus on national health systems in other countries. This year we expect to significantly increase the number and quality of these important relationships that we are privileged to serve. Excellence and consistency in operational execution will remain an important focal point, everyday, all year long enterprise-wide. Already in late-December and January, we quietly on-boarded over 5 million people to our newly developed rally consumer engagement digital health platform. And almost 6 million to Advocate For Me, our consumer support and service technology. And nearly 400,000 physicians are now served through our cloud-based link service platform with a goal to reach 600,000 by year-end. We expect to further advance these and other next-generation consumer-centric healthcare tools in coming months, together with updates to our rapidly growing portfolio of mobile applications and cloud-based services, these technologies will serve to enhance and modernize our overall consumer and care provider experience in 2015. The key focal point within this area is our commitment to achieving four star or better performance for at least 80% of our Medicare Advantage customers by 2018 and 2015 is the year this work gets finished for 2018. We expect to perform well on medical cost for our customers, we deliver to our customers and members a valuable package of cost-effective network options and simple, useful information about quality and treatment choices supported by consumer outreach and effective medical management. In 2015, we foresee our volume of care delivered through value-based contracts exceeding $43 billion and as we help deliver improved cost and quality transparency. In 2015 we will hold the strong financial disciplines. We expect to return capital to shareholders through a rising dividend and consistent share repurchase, while we maintain a discipline M&A outlook to further strengthen our capabilities and scale to benefit customers and consumers. Our brand equity and recognition will mature in 2015 with Optum and the UnitedHealthcare each refreshing their efforts to reach consumers and thought leaders across their health system. We spoke at the December Investor Conference about a fresh vocabulary for our enterprise, words like consumer and care provider value, precision and consistency in our work, simplicity, driving the last mile in the integration of data, services and transaction processes, rapid adoption for innovation benefits serving consumers and care providers, flexibility, adaptability and a more urgent pace of change. These things will become much more than words in 2015. Every year brings challenges and 2015 will be no exception, how we meet those challenges will define the character of our enterprise and its leadership team. We expect to continue to build by focusing on serving our customers and serving you as our shareholders, all year long, guiding continued momentum in 2016, 2017 and beyond. We thank you for your interest this morning, and we will now return to your questions, just one per analyst please. Thank you.
Question-and:
Operator: Floor is now open for questions. (Operator Instructions) And we can take our first question from Justin Lake with JPMorgan. Please go ahead.
Justin Lake: My questions are on the commercial risk market, it certainly looked like membership stabilized in the fourth quarter here and Steve you talked about being ahead of plan early in the year. Can you expand on what is driving that change in membership trajectory and give us an update on the pricing environment in general? Thanks.
Stephen Hemsley: Sure, I think this morning I am going to ask Dave to kind of take point on the UnitedHealthcare elements of questions. So, Dave you want to take that and then engage the team?
Dave Wichmann: I’ll just maybe just make a couple remarks then I’ll quickly turn it to Jeff. Thanks for noticing the progress we have made in the commercial risk market in the fourth quarter that carried over into Q1 as well and as you look at it, it is both on and off exchange and I think you’ll hear from Jeff that we have very disciplined pricing as part of that as well, so Jeff?
Jeff Alter: Good morning, Justin. It's Jeff Alter. Yes, we had a really nice quarter in '14 and a really nice start to '15, primarily driven by our new products we have put into the marketplace in reaction to the beginning of 2014 in some of our challenges around price points. So, we worked really hard, tried to create products that were tied to network design and benefit plans that saw a different value proposition to many of our markets. We first began to see a churn in on membership profile around much better improved persistency of existing accounts, then we saw some of our value around affordability, helping our experience rated accounts and then as we moved into '15 I think our exchange expansion also helps create some additional products portfolio advancements off exchange that have been selling really well. Your question around pricing, as Dave mentioned our pricing remains consistent and stable. I think that is also helping us as others are -- our pricing maybe a little bit to fix the shortfall in there, past pricing efforts and I think the market remains as stable as we have talked about, competitive and no real change to that portfolio of pricing across the various markets that we serve.
Operator: We can take our next question from Matthew Borsch with Goldman Sachs.
Matthew Borsch: Yes, maybe if I could ask you there to build on that and stay in the commercial market territory and maybe you can just tell us what you’re seeing in terms of the evolution of the small group market, how much erosion if any you’re seeing with coverage whether that’s going to be exchanges or not? And then perhaps more broadly in commercial what you’re seeing within group retention with the economy strengthening?
Stephen Hemsley: Jeff?
Jeff Alter: We, again '14 we were minor players in the exchange so we don’t have a lot of information. I will tell you that I think it’s well within that range that we have talked about over the last couple of years a few percent of that small group market eroding into the exchanges at least at this point. I think the growth in the exchanges both in '14 and in '15 are really driven by the uninsured and that expansion through the subsidy. So we have not seen a significant erosion of our small group business, just a reminder over the years that business has gotten to the point where roughly maybe 50% or 55% of those employers cover that’s down from maybe 60%-65% in the 90s so this is going to continued erosion of that market over the years. I think you had a second question around our pricing environment?
Matthew Borsch: Well, it was really around the -- whether you’re seeing some in group iteration, whether you’re seeing trends stabilize and to what extent perhaps as a result of the strengthening economy?
Jeff Alter: Our in-group attrition has flattened that is probably due to the economy and then earlier in the year we did have some in-group attrition that was related to the ACA that has leveled off.
Matthew Borsch: Alright, thank you.
Stephen Hemsley: We’re really seeing growth on the exchange off the exchange and in the self-funded marketplace too.
Matthew Borsch: Correct.
Stephen Hemsley: So we’re really seeing pretty broad-based response to the offerings you’re putting out in this point of time.
Operator: And we’ll take our next question from Dave Windley with Jefferies. Please go ahead.
David Windley: Thanks. I was going to shift to Optum, Optum and in particular Insight had a really good fourth quarter margin. I wondered if you could elaborate on that for us and the sustainability of that. And then speaking about the Optum margin progression over the next few years toward the 8% goal?
Stephen Hemsley: Larry?
Larry Renfro: So Dave it’s Larry Renfro, I’m going to ask Bill Miller to participate in this question as well. So I think you probably recall that we had gone through our business plan this year from the start talking about how the fourth quarter would end with a couple of things going on. We had a great fourth quarter with the $1 billion in earnings that Dave talked about, but we were positioned for that quarter to have seasonality that’s our 40-60 split on our business for the year and the planned investments we expected to kick-in and to start to pay-off and OptumInsight would be a part of that and that’s Optum360. And then we had a third area of simplification and integration on our products and my comment on that is that everything worked as planned. We exceeded slightly the expectations we gave you at our December Conference. So we’re off to a very strong fourth quarter and a great start. I would also say that the question on the 8-by-15 we were on target, we feel good about that. The momentum going into 2015 is very strong obviously for us, but it’s also very strong for our number one customer being UHC. So we’re still firm and the ways that we’re good with the 8-by-15. Bill any comments on Insight?
Bill Miller: Yes, obviously it was a very strong quarter and I think it sets us up very well for '15 and beyond at backlog growth I think there is clearly a recognition that a few of the key things that we’re bringing to the marketplace and have invested in are maturing, there is acceptance for example of the 360 side of our business which we talked a lot about which is our revenue management platform. We’re well on our way to the customer acquisition that we target, but more importantly and what’s exciting is the results that we’re generating for our clients are starting to come through in terms of their financial and operational performance. We’ve made investments in data and strengthened our hand particularly from a clinical data standpoint that has clearly differentiated us. We had a record quarter and expect another record year with sales, new client acquisitions and revenue from our data differentiation both in the provider marketplace and in the life sciences arena as well. Clearly we’ve added critical clients on the government side, working with several states on exchanges. And then finally I would say we’re really happy with our entry into the physician management business, where we’re going into practices, health systems, helping them turnaround and help drive better performance quality in their physician practices. We entered that market last year. We’re very confident that that is going to be a strong contributor for the future of OptumInsight. And so all of those things combined together I think show a lot of diversity in what we do, a lot of areas to grow and feel pretty confident not only about 2015 but beyond.
Operator:
. :
Peter Costa: You put forth on the Investor Day a view of cost trend rising 50 basis points faster than it did last year, some of your competitors have put forth views of trend that's a little bit ahead of that. Why should we not be concerned of perhaps some of the improving view and membership on the commercial business, is it because you have perhaps underpriced that business? And specific to that in terms of cost trend can you talk about how your view on specialty pharma in particular Hepatitis C drugs, is evolving this year relative to last year?
David Wichmann: Okay, Peter it’s David and you’ve got a lot in there. I am going to have Dan respond to you, I will just maybe comment globally on our ability to manage medical cost and trend. I think it's no surprise that we have been able to create distinction there, vis-à-vis our competition for some time. We do a very good job of controlling utilization and an excellent job as well in terms of taking a full review of our cost structures and putting it into our pricing which is the discipline we've applied for years now and I think it's consistently produced good results. So Dan I’ll ask you to comment further.
Dan Schumacher: Good morning, Peter, it’s Dan Schumacher. So, let me handle first the medical cost sides, talk quickly about pricing and then a little bit on Hep C I think those are the three elements you are interested in.
Peter Costa: Yes.
Dan Schumacher: From a medical cost standpoint just kind of looking at 2014 broadly, we’re very pleased with our medical cost performance. And in the fourth quarter in particular we again came in a little bit better than what we had expected and that's true in our commercial business, as well as in our government businesses. As we look at the utilization under that more specifically, that continues to be very well controlled, Steve did mention that again this year we were able to drive an absolute reduction in our hospital usage per capita, we did that in each business and that was the sixth consecutive year we've been able to drive an absolute reduction in hospital in patient usage per capita. So when we put that all together from a commercial standpoint our cost trend for 2014 came in actually a little bit better than the 5.5% that we had guided to at the end of -- at the beginning of December as well as the low-end of the range we guided to a year ago. As we think about our trend into the future, we have assumed that we're going to see a moderate increase in utilization in each of our benefits businesses and that outlook is what informed our pricing, as well as our benefit planning. And I'll tell you with December behind us and the majority of January behind us as well, we're not seeing any indication or evidence of an increase in utilization. So we feel very comfortable with our forward outlook, commercial cost trend for 2015 is 6% plus or minus 50 basis points. Sitting here today, we have 75% of our revenue for 2015 locked-in and the vast majority of that revenue comes from retained accounts those are customers that we have experience with and we understand their performance, so we feel very comfortable with not only our cost trend outlook, but also in relation to where we're positioned from a revenue standpoint in our commercial business. Lastly you asked about Hep C. Obviously that's a category of significant focus for a lot of people as of late. In 2014 obviously we revised our expectations for cost coming out of the first quarter and I would tell you that we tracked very much in line with that over the balance of 2014. As we look to 2015 we do expect an increase in those costs in each of our businesses, we've reflected that and captured it in our outlook. So, we feel comfortable with where we are positioned.
Peter Costa: Can you give us some specifics on how much cost increase you expect in 2015 and precisely what you are doing regarding negotiating between the various drugs in Hep C?
Dan Schumacher: What I’d tell you Peter is that we're constantly working to manage cost and drive greater value. In this space we're pleased to see competition. As we look at new product launches particularly in very high cost categories we have a very rigorous process, it's a process that evaluates the clinical equivalency of the drugs. We look at the effectiveness of each drug. We design clinical programs to ensure appropriate use. And then we obviously are looking at the PDL and formulary implications and then we're negotiating relationships that really drive the best value for our members and our customers. So, we don't talk specifically in this form about manufacturer relationships, but rest assured we're all over this.
Peter Costa: Thank you much.
Stephen Hemsley: So, Peter just to maybe to close that out, just to be clear and taking Jeff's comments earlier and Dan's comments now I think it's really our product positioning exercise that and possibly some firming of the market that's caused us to advance our business. The other thing I’d -- so I think you can conclude that we're not under pricing the business. The other thing you can look at is our relative MTTR performance for the fourth quarter versus the full year. And if you look at that you will see that that we're performing better in Q4 than we did for the full year we have performed very well for the full year, but you can see some acceleration in performance as well. So hopefully that closes out that issue we’re not surprising.
Operator: And we can take our next question from Andy Schenker with Morgan Stanley. Please go ahead.
Andy Schenker: So if I’m doing my math here correctly let’s say you guys are forecasting about 19% to 20% growth in value-based care or care delivery on your value-based contract, maybe if you could talk about a little bit how that’s split between commercial Medicare and Medicaid? And also how those value-based contracts are impacting both your enrollment, are you seeing outsiders enrollment in those products and then also around your expectations around cost trends? Thank you.
Stephen Hemsley: Okay I’ll have Dan comment on this obviously it’s a key area of focus for us to align incentives with delivery system really anchored on advancing quality of healthcare first but also improving the affordability of it, Dan?
Dan Schumacher: So your math is right. Yes we are expecting about a 20% increase in the concentration of value-based reimbursement. And going from -- we ended the year at about $36 billion of spend in value-based arrangements and we’re looking to drive that north of $43 billion in 2015. And in terms of the underlying businesses, we’re seeing double-digit growth in all three of our businesses, so I wouldn’t highlight anyone individually. We’re looking to make progress across the spectrum and across the benefits landscape. And we’re seeing contributions to enrollment as a result of those relationships where we partner more distinctly with certain delivery system partners. And on the cost side, we’re also seeing the outcomes there. We talked at the Investor Day, I know we had a breakout seminar to talk about driving 1% to 6% aggregate savings from our value-based reimbursement approaches, and then within that obviously the numbers can be significant based on how they’re designed and as well as how tightly they are aligned around quality and performance and outcome. So we’re very pleased with our progress there. We’re focused on it in 2015 and we’ll be in '16 and beyond.
Stephen Hemsley: I think it’s important to note the orientation of the quality. And the fact that the structure actually drives volume towards the better providers that enter into these performance contracts and that we’re progressing these contracts into more sophisticated forms where they’re actually taking on even greater performance responsibility overtime.
Operator: And we’ll take our next question from Tom Carroll with Stifel. Please go ahead.
Tom Carroll: It sounds like a very confident 2015 outlook. I wonder if you could share with us a bit more commentary on your operating cost ratio. Fourth quarter’s result was relatively high, driven by the obvious, but do you think you see that improving in 2015 much like the rest of your business? And where should it go over the next three years? Thanks.
Stephen Hemsley: Hey Dave do you want to address that?
Dave Wichmann: Tom, Dave Wichmann. So a couple of things, first our operating care cost ratio for the quarter was a little bit elevated at 125 basis points quarter-over-quarter. As you know this is mainly influenced by the insurers fee which amps up that ratio by about 120 of the basis points, but what has been pretty persistent in our business is the mix has shifted more towards services. And when you see that mix shift, it tends to put a lot of pressure on this ratio. And so then that increases it even further and then our productivity efforts bring it back down and we’ve seen productivity well managed across our business not only offsetting those impacts, but also inflation broadly. As we look to 2015, the same dynamics play out. We have a little bit of an uptick in the insurers fee, which further presses this ratio, but we also see continued growth in Optum and in our fee-based business overall which tends to press this forward as well. And then we continue to offset that with productivity improvements year-over-year. And we do expect the ratio to be somewhere around 17% plus or minus 30 basis points for next year. And we believe our running physicians supports that.
Tom Carroll: Thank you.
Stephen Hemsley: Next please, next question. Moderator, do you have another, we have answered all the questions this morning? So we may be having some technical difficulties we’re going to. Hello?
Operator: One moment please, we’re having technical difficulties.
Stephen Hemsley: Well, UnitedHealth Group is still here, I don’t know about the rest of the world at this moment.
Operator: And our next question comes from Christine Arnold with Cowen. Please go ahead, your line is open.
Christine Arnold: Optum360 and particularly for OptumInsight seems to be tracking kind of ahead of even what you were expecting last month. Is there any change to your Optum expectations relative to what we saw at your Investor Day? And then also what are you expecting in terms of margins on your individual memberships on the public exchanges? Thanks.
Stephen Hemsley: Well that’s an interesting combination question Christine. So I’ll have Larry take the Optum side and then we’ll respond to the margins on the public exchange business.
Larry Renfro: Christine I believe that we are right on target with where we planned to be right now with Optum360 from what I’ll call the planned investment side, as well as the implementation operation. I think you know we have Dignity Health and NovaSure as two of our prime customers here. And nothing has really changed from the investor conference. We were positioning everything to happen in the fourth quarter just as it came through. I don’t know Bill if you have any comments?
Bill Miller: No, I think much has changed. I think our business will depending on what happens with the ICD-10 changes this year, they didn’t happen last year we overcame that, if they don’t happen this year we are prepared one way or another, but I think we are optimistic and see certainly a pipeline that would lead us to believe that not only are we on target but we have got a chance to work ahead but I’d say nothing has changed since the investors conference. And I would say just in terms of customer acquisition, we have always said kind of across our business that we were looking for these eight to 10 rich and deep relationships and I think if you look across all of the customers that we have acquired not only in 360 but beyond, we are halfway to that goal, and we feel very good about achieving that and certainly we don’t see anything in '15 slowing us down to achieve that.
Larry Renfro: Christine, maybe I could it’s Larry again, let me talk about the 10 relationships that Bill mentioned. We have named two, as we go forward some of our customers they do not like to be identified because of competition, and so some of the visible ways of looking at that half that we have right now would be to look at Optum360 it would be to look at our business in the government solutions area, and you could look at Optum One our data analytics area and you could look at Optum Lab. So there is some other metrics that I think are going to be important to look at from this customer acquisition standpoint. And I am going to ask John Rex maybe hit some of those metrics as well.
John Rex: Good morning Christine, John Rex here. So a few other things that we’d looked at in terms of helping illustrate how we are progressing towards that goal of, be it larger relationships. The average, if we look at since the last couple of years average deal size within OptumHealth is up 80%. Revenue from our top-25 customers within Optum is up 2.4 times. The number of customers with over 100 million in annual revenue has doubled. We’d point to external backlog going up nearly 20% and a pipeline that about doubled over the last year. So those are other metrics we look to, to help illustrate the impact that we are having and gaining these types of relationships.
Stephen Hemsley: I’ll let Jeff respond to public exchange question.
Jeff Alter: Good morning Christine, it’s Jeff Alter again. On in build exchange we built for our initial years to margin of 1% and 2% without any reliance on the risk orders, but we believe longer-term it’s 3% to 5% business and like everything else well endeavored to be in the top-end of that range, as we go forward.
Operator: We will take our next question from Ralph Giacobbe with Credit Suisse. Please go ahead.
Ralph Giacobbe: Just staying on the public exchanges, can you maybe give us a little bit of an update on how enrollment is tracking? I think you talked about it being in excess of 400,000, so just wondering if you’d expect to sort of exceed the 400,000 to 500,000 range. Maybe if there is any disproportion in enrollment in any state that you are in? And then lastly recently in California, it sounds like you tried to get in statewide for 2016 but were denied, is the plan just to kind of revisit that in 2017 or are there alternatives you are seeking to still get into that market before that? Thanks.
Jeff Alter: Good morning Ralph, it’s Jeff Alter again. So let’s start with, yes we have had about over the 400,000 level in signups. We still feel comfortable within that range that we gave in at the investor conference between 400 and 500 by at this point I might think more around the 500 and depending on how the next week or so plays out, we could be that, but right now we feel comfortable within that range. The good news for us is we are growing where we said we would grow, which is growing a little bit more in some of those markets than we thought. So at investor conference we talked about some of the bigger markets where we thought we could grow and do well and that’s where we are growing and doing well. So along with our plan that is where the growth is coming in. Now obviously in California we are disappointed, we wanted to bring more choice and options to the residents, to California, we believe competition is good for them, unfortunately we were not able to get agreement from that Board to be in all markets, we did get granted a few markets where there are and as many carriers as they would like, we will -- we are reviewing that now so we might be in California in '16, but in a small handful of markets and we will go back in '17, we believe choices and competition are good for all markets including California.
Ralph Giacobbe: And you anticipate that you’ll expand your portfolio markets in the next year?
Jeff Alter: Yes, outside of California we are working now to expand our footprint into the other markets that we happen to -- we didn’t serve in '15.
Ralph Giacobbe: But you’ll do that in measured ways, it's not all those…
Jeff Alter: Yes we are reviewing those markets now we’ll make some final decisions and let you know.
Ralph Giacobbe: The other thing that’s nice is not only just selling right in the markets that you wanted, but you also sold the products that you thought would sell, right?
Jeff Alter: Correct.
Operator: And we’ll take our next question from A.J. Rice with UBS. Please go ahead.
A.J. Rice: Maybe just ask about the Medicare Advantage obviously you're looking forward acceleration growth I think 200,000 to 300,000 enrollment though was the target at the Investor Day it looks like in January with some of the open enrollment season in Europe 165,000 adds please comment on what you're seeing so far in the open enrollment season and whether that’s really ahead of your expectations inline and any sort of qualitative comment about the market environment and then any early thoughts on the 2016 rate notice?
Dave Wichmann: It's Dave, I think we’ve -- the team has done a nice job of really reestablishing growth in the Medicare Advantage individual aligned but -- and we have continued our very nice growth on the group MA front as well, but I’ll ask Steve Nelson to comment overall on your questions.
Steve Nelson: Good morning A.J., it's Steve Nelson. Yes we are very pleased with not only how we ended the year but how we performed in AP. As Dave indicated, we drove really strong growth in our group Medicare Advantage business and I would say market leading growth actually, so really pleased with that. But we expect full year growth in our individual membership as well and that’s particularly -- we’re particularly excited about that because of the work we’ve done with reshaping our network and you're seeing premiums broadly into our portfolio, and we are able to grow in the markets that were key to us such as Florida, New York and Texas and Southern California. So really off to a nice start and I would say also we’ve saw some really good results and nice start to Medicare stuff as well. And across those two products really again off to a good start, good place to be, in fact maybe a little bit ahead of what we were thinking and so we feel really good about the ranges that we offered in last December and still get about those ranges. In terms of the 2016 rates, there is a lot of variables that go into the final rate as you know and so you don’t really speculate on that, but I will offer that our position has been -- that it’s just a very successful and valuable program to seniors and it’s had great results in medical costs and improving outcomes. Member satisfaction is up and the program is growing. So, we remain strong advocates for our seniors and their healthcare and we hope and expect that the rates when they are finally published will be fair and appropriate. Overall, we’re really pleased with the positioning of our Medicare business and how we’re heading into 2015.
Stephen Hemsley: We may have time for about two more questions. So, we could take a look at that, maybe two more questions. So next please.
Operator: Yes. We can take our next question from Kevin Fischbeck with Bank of America. Please go ahead.
Kevin Fischbeck: Maybe just two on the MA side of things, can you talk a little bit about the stars and how your analysis of what stars has meant for enrollment in 2015, are you seeing better enrollment in the places where you have four stars, are you seeing real issues and competitors have really moved up on the stars in the individual side in 2015? And then also and obviously you’ve grown group very significantly for 2015, do stars matter as much when we think about the group business or is that something that overtime you think that it will impact how group perceives the product as well?
Stephen Hemsley: Maybe I’ll start on this I’d like to make it clear that we believe stars matters and that we’re focused on improving our performance in stars and I think we have been very consistent on that theme. It's not clear that, that has had really an impact with respect to how the product is marketed or acquired in markets, but we do believe that it is important -- overtime obviously important from a financial point of view, important in terms of our relationship with CMS who basically established those performance guideline. So, I want to make it clear that we are committed to stars performance but it’s not clear and I maybe see Nelson to comment that that has had really a particular impact in terms of market response to product offerings right?
Steve Nelson: Sure. No, hi, it’s Steve Nelson. You’re right Steve stars obviously is a factor but it’s one of many and it’s very -- the benefit of planning processes is one that has a lot of factors in it and we take all those things into account as we look at the results that we’ve achieved in AP that is very much in line with our expectations and stars doesn’t particularly spike out as the core driver to any of those results again it’s across so many factors and a lot of including your brand positioning, your brand strength, strength of the distribution, the engagement you have with providers and again that is how you design the product. So there is a lot of factors in there, on the group side stars is important it allows you to price competitively and our group membership has enforced our plans and so that adds to our ability to grow that membership and thus contribute it to that.
Kevin Fischbeck: Well I guess the question is, if 2018 feels like a long way away in many respects so do you think that you’ll be able to go nicely even until you get to that target you don’t need to get four stars to continue to go in the MA business in the meantime?
Steve Nelson: No, we don’t. And one thing that really hasn’t been mentioned this morning is that, we are clearly in the zone of our growth expectations for MA and we’ve actually advanced premiums in a significant way and to basically to be able to go through that right Steve?
Stephen Hemsley: Right and so advantage is pretty impressive.
Steve Nelson: And I think bodes well because I think the large portion of establishing premium products in markets a lot of that work got done this year.
Operator:
. :
Joshua Raskin: I want to get back to the commercial business and I guess the question is just sort of about the landscape of employers, commercial employer contracts, basically what are they looking for in terms of products and then have you guys quantified the Optum impact whether there is a cross-sell of Optum products, or you mentioned Rally and Advocate For Me and a couple of these others, you’ve measured this in new wins or higher retention levels and just broadly what’s changing in that landscape where United is now seeing sort of that inflection point on commercial growth?
Stephen Hemsley: So I’ll have Jeff respond to that, I do think that the content of the Optum product in the UnitedHealthcare offering clearly in the way in which supply clearly makes a distinctive difference, but has a lot to do with the way in which it’s applied in the offering, but Jeff?
Jeff Alter: Good morning Josh, it’s Jeff Alter. So I think again from most, everyone of our clients and employers in general this is a very important benefit for them to believe so they look for the value that can be provided, but it’s also one of their more expensive items so they look for a partner who can work with them over the long-term to keep affordability in mind, but also deliver great products, service and innovation and that’s when if you think about the combination of UnitedHealthcare and Optum together working in partnership with the clients and their consulting and their brokerage create that plan that works for that employer across sort of a very long time stamp. We believe we are uniquely positioned to deliver anything at any point for that client as their business changes and their dynamics change. We’re able to bring in consumer products that Optum builds, obviously our close tie to OptumRx now that specialty medicine is becoming a cross-factor having the close relationship that we have with OptumRx to embed that inside the medical benefit is vitally important for the value proposition that the employer is looking for. And then across the spectrum into OptumHealth our disease management wellness programs, our consumer engagements, employers have spent considerable amounts of money to have disease management wellness programs and are looking for more engagements and the work that Rally and OptumHealth does to go beyond just by creating an offering but actually get that engagement and get that uptake to keep people healthier and engaged in their wellness is vitally important. So I think what we’ve seen is the marketplace has stabilized over the last year or so is that that view from employers looking for a longer term partner who can work with them to create an even more valuable benefit plan an offering for their employees but also be mindful of the cost factors that are involved in it.
Stephen Hemsley: Yes, something to really match the breadth of their offerings and the innovation dynamic and the reliability of continues innovation, continues focus on technology, so that you are building value year-after-year-after-year which plays a lot to the retention rates you have too. So good question and great response, so thank you very much for joining us this morning kind of to sum up 2014. UnitedHealth Group had a clearly a very strong year in '14 and momentum of the business grew throughout the course of the year, so that we ended the year perhaps, our strongest point and have brought that strength into the beginning of 2015 and through consistent execution and consistent focus on performance, serving customers, the people that we serve continuing to drive innovation, matched with a strong financial disciplines we expect our growth to accelerate in 2015 and beyond. We thank you very much for joining us this morning and we will see you next quarter. Thank you.
Operator: This concludes today’s program, thanks for your participation. You may now disconnect.